Operator: [Foreign Language] Good morning. I would like to welcome everyone to this web conference presenting Alimentation Couche-Tard financial results for it’s Third Quarter of Fiscal Year 2022. All lines will be kept on mute to prevent any background noise. After the presentation we will enter questions from analysts at live during the web conference. We would like to remind everyone that this webcast presentation will be available on our website for a 90-day period. Also, please remember that some of the issues discussed during this webcast might be forward-looking statements which are provided by the corporation with its usual caveat. These caveats or risks and uncertainties are outlined in our financial report. Therefore our future results could defer from the information discussed today. Our financial results will be presented by Mr. Brian Hannasch, President and Chief Executive Officer and Mr. Claude Tessier, Chief Financial Officer. Brian you may begin your conference.
Brian Hannasch:
Brian Hannasch: Thank you Jean Lachance and good morning everyone. Thanks for joining us for this presentation of our third quarter 2022 results. Two years after the start of the pandemic and during the quarter were the Omicron variants surged across our global network. I am pleased to announce that we had strong results during the third quarter in both convenience and in fuel. Same-store merchandised sales were particularly strong in Europe as well as in the U.S. with our freshly prepared food programs and packaged beverages among the main drivers of continued growth. Across the business in fuel volumes and traffic we saw strong results earlier in the quarter, but both were impacted by work from home orders and the rising COVID-19 cases with the spread of Omicron particularly towards the back half of the quarter. The Omicron impact during the back half mainly affected our large and urban areas in North America and Europe where we saw renewed lockdowns. However, we continue to achieve healthy fuel margins and benefit from our strategic initiatives that we are remaining laser focussed on. We worked hard to overcome the historic labor and supply chain issues in our industry and are pleased to report significant improvement in more recent periods, as well as progress across many of our key priorities. I’ll go into this in more details on these initiatives during the presentation, but before moving to those results I want to take a moment to comment on our decision to suspend our operations in Russia. In our announcement we made it clear that we condemn Russia’s aggression against Ukraine and the human impact it’s having on both Ukrainians and Russians. As such we made the decision to suspend the operations effective immediately. Couche’s been in Russia for nearly three decades and has been incredibly proud of our Russian team and their dedicated service to our customers and our communities in Russia. There are 38 Circle K stores located in St. Petersburg, Murmansk and Pskov as well as 320 employees. And we are committed to take care of them in responsible and safe manner as we wind down our operations. Our hearts go out to all those impacted by the violence unfolding in that region. Since the beginning of the crisis, we've been deeply moved by the outpouring of generosity by our local Circle K teams in Poland, the Baltic countries and across our European network who've been helping refugees with free fuel, food, beverages, housing, and donations to a myriad of charities. Early on, Couche-Tard donated nearly $1.5 million to the Red Cross. And we started a global campaign to raise further funds for the Ukrainian people, including matching customer node donations in all of our European stores, and providing a platform for our global team members to make donations to the Red Cross. Let me turn to our results and I’ll begin with convenience. Compared to the same quarter last year, same store merchandise revenues increased 3.7% in the U.S. 7.2% in Europe and other regions, and decreased 0.8% in Canada. Convenience activities performed well on a two year stack basis as same-store merchandise revenues increased on a compound annual growth rate of 3.4% in the U.S. 5% in Europe, and 2.1% in Canada. Across the network, our fresh food fast programs continue to grow with over 2900 stores now open in North America and over 300 in Europe. And we're seeing strong year-over-year growth. In the U.S. where we have the majority of our fresh food fast sites we've seen same store year-over-year gains in excess of 20%. We've continued to launch a variety of operational tools to continue to drive the simplicity and reduce labor hours, making it easier for our store teams to merchandise and produce these great products. While supply chain issues have continued to be challenging, we’ve modified our supplier base to provide redundancy and improve our stock positions. A pipeline of new items is also prepared to enter our stores as we continue to refine our assortment and make every effort to get in the chicken sandwich business. As the markets reopened, we are excited about the opportunities in front of us to promote and sample this great program in the coming weeks and months. In our dispense beverage category, our Sip and Save subscription program has been expanded to include online enrollment making sign up ease and renewal quick and easy. We've currently have 400,000 active subscribers in the program. We have very strong positive feedback from our customers and we continue to look for opportunities to make it easy even easier for our customers to benefit from this program. While it's certainly in the short term, probably impacts our sales in the expense category, we think the on-going loyalty and increase in traffic that we're seeing is a good move for us over the long term. Overall growth and packaged beverage remain strong, with good unit growth led by sports drinks and energy. Energy drinks continue to drive the category through innovation with high value national activation and first to market opportunities in sports drinks. They've all both combined driven strong sales increases year-over-year. Assortment, promotional activity and supply chain management will be the core focus in the coming quarters as customers begin to shift back to media consumption, and more normalized shopping patterns, and quite honestly as we prepare for hopefully what an exciting summer as the societies are open. Overall, the company's total age restricted category was up slightly compared to the same quarter last year despite bars and restaurants being reopened. Europe continue to have good sales results and other tobacco products, and our U.S. business units continue to focus on wine and other age restricted products including the fast growing single serve wine and salsa products. To enhance the in-store customer journey and maximize impulse purchases, we now have over 2000 Q-line installations complete in North America and over 300 in Europe. These Q-lines continue to show very strong value in building basket size, especially with confections, salty and beverages and our goal is to have over 50% of our North American network for Q-lines installed by the end of the year, you know the limiting factor being supply chain on fixtures, and then quite honestly the size of some of our boxes. In our data and analytics work, we continue to refine the localized pricing program which is now live across the network. And we're seeing a clear average gross margin improvement from the effort. We've also ramped up our work to enable the optimization of promotions and assortment at scale. While still in the early days, we're seeing very encouraging results in both of those areas. In Europe, we've begun executing on early key learnings across promotions including the sun setting of ineffective promotional activity. And overall, we're seeing margin improvement with little to no decrease in unit movement. Also want to bring attention to the investment we're making the future of convenience with our Circle K venture fund. We recently announced that we've invested more than half of the initial $100 million of the fun start up in companies that are developing forward looking solutions, focused on enhancing the customer experience in our stores, improving efficiency, making our customers lives and just a bit easier. Since the fund’s inception in 2020, we secured equity stakes in a number of these entrepreneurial start-ups, forming collaborative partnerships and agreements to test and commercialize these innovations. Most recent investments are U.S. based companies offering delivery grocery, convenience and pantry items that commend competitive prices and very compelling speed. We're working with these partners and pilot and commercial programs by testing and learning, seeing how we can add restricted sales to the product mix, which we think is important to the basket, and certainly a way to look around the corner and clearly understand the economics of quick delivery, and how it may or may not fit with our customer’s needs and expectations from a convenience perspective. Moving our fuel business, same store road transportation volume increased 3.2% in the U.S. 3.2% in Europe and other regions and 7.2% in Canada. On a two year stack basis again, same store road transportation fuel volume decreased in an annual rate of 6.8 in the U.S. 3.4% in Europe and 7.4% in Canada, we still see particularly in the morning day part still impacted from working home trends and then during the quarter certainly a resurgence of COVID which created lockdowns in many of our markets. As societies open and people start to return back to the offices, at least a few days a week, we believe we're continuing to see miles driven increase toward 2019 levels. In our Circle K fuel rebranding work over the quarter, we completed another 181 locations bringing the year-to-date total to 381 and total site count with the Circle K fuel brand in North America to 3200 stores. Our Circle K ambassador program kicked off to further support site level rebrand activity such as educating the customer about our Circle K fuel brand, our quality guarantee program and our premium benefits. In the U.S. we've also began a wind free fuel for a year -- national campaign and we will have 144 winners of free fuel for a year by the end of the fiscal year. Also in our fuel category, we're pleased to -- we're pleased with our strong sourcing efficiency and growing in-house fuel transport operations across the network. In Europe, we're on track to launch our fleet with the ambition of the recently completed started to work in Sweden during the quarter. We now have over 1000 drivers transporting Circle K fuel and we just believe that provides tremendous upside in terms of reliability, but also our flexibility to optimize our fuel sourcing. In Europe, our B2B business was strong, volumes for both fuel cards and bulk sales are trending ahead of prior year and in the quarter card volumes trended ahead of pre-COVID levels driven by strong recovery in the fleet sector, and continued very robust performance in the transport sector. On both B2B and B2C in Europe, our teams are doing a great job and we are clearly gaining market share. We've also made good progress on electric vehicle work this quarter reaching the 1000 charger milestone with new chargers being installed in Sweden in this quarter and we've dealt our approach in North America. We opened our first Tesla EV charger in Austin, Texas during the quarter, and we now have over 100 charging locations active in Canada. Turning to innovation, we've continued to expand our Pay by Plate service across Canada, excuse me across Scandinavia, bringing the program to Denmark with 225 sites added during the quarter. It continues to be very well received by customers and is clearly easier. Our next markets are Norway and Estonia as we continue to take learnings from the initial launch in Sweden to drive improvements in this program. Again, just back to our Circle K fun briefly, we're investing in partnering with groups that are working to enhance the in-store customer experience by leveraging technologies enable store employees to focus more on the customer service and workforce efficiency. We're installing innovative and fast checkout technologies in our U.S. and European stores, as well as technology that's tapping into the fast growing gig workforce. During COVID, we saw just a significant up spike in the percentage of the workforce that was shifting to and preferring the gig work methods if you will. And we've tapped into that and just really encouraged with the results of being able to bifurcate what's happened in our store and utilize that workforce to supplement our activities aside and let our people focus on serving the customer. And finally before turning it over to Claude, I want to further address those labor and supply chain challenges. We're pleased to report significant improvement in more recent periods of the quarter. In North America, we saw significant improvement in turnover trends at all levels of our operational teams, including store manager, Assistant Manager, and our customer service team members. We attribute to this to certainly the targeted actions we've taken on the variable comp side retention initiatives, training and benefits that we have closely tracked and worked with our business users to tailor to meet specific competitive needs and in their environments in their local markets. We've also stepped up our leadership development training programs, significantly focusing our attention on culture value and leadership expectation. The fight isn't over, but certainly we see a light at the end of the tunnel. Then with regard to supply chain, we've implemented mitigating efforts this quarter to increase our holding capacities in stock on key skews as we approach the summer selling season. This includes the additional queue lines I already touched on. We've also worked are working to improve the holding capacity of our highest turning products, expanding shelf, shelf depth and increasing core capacity. We're also reducing dependency on single source supply by identifying alternative suppliers in key products such as food and waters. While there's no quick fixes, the teams are focused on being ready for the summer. I'm going to pause there and let Claude take you through more of our third quarter financial results. Claude?
Claude Tessier: Thank you, Brian, ladies and gentlemen, good morning. For the third quarter of 2022, we're happy to report net earnings of $746.4 million or $0.70 per share on a diluted basis. Excluding certain items for both comparable periods, adjusted net earnings were approximately $746 million or $0.70 per share on a diluted basis for the third quarter of fiscal 2022 compared with $622 million or $0.56 per share on a diluted basis for the third quarter of fiscal 2021, an increase of 25% in the adjusted diluted net earnings per share. We delivered against once again sorry a solid quarter as evidenced by increases of 15.2% in gross profit dollars and 18% in adjusted EBITDA compared to the third quarter of last year in all -- in an overall challenging [Indiscernible] in which we diligently manage higher than usual inflation and supply chain disruptions. We have continued to advance on our strategic priorities, including our fuel initiatives, network development and cost optimization initiative across our network bringing our last four quarters EBIT, adjusted EBITDA above $5.2 billion. Our financial position remains strong, highlighted by our leverage ratio of 1.33, which allowed us during the quarter to upsize our current share repurchase program from almost 32.1 million shares to over 46.8 million shares. We are actively managing our balance sheet, and as a result, we repurchased close to $750 million of shares during the quarter and subsequent to the end of the quarter. Following the end of the quarter, we also completed the early repayment of our Canadian dollar dominated seniors unsecured note issued on November 1, 2012. We also intend to renew our share repurchase program of an expiry on April 25 2022, at a level of 10% of the then prevailing public float, giving us the opportunity to repurchase approximately 3.2 billion over the upcoming fiscal year. I will now go over some key figures for the quarter. For more details, please refer to our MD&A available on our website. During this most recent quarter, excluding the net impact from foreign currency translation, merchandise and service revenue was increased by approximately $272 million or 6%. This increase is primarily attributable to the contribution from acquisitions, which amounted to approximately $158 million as well as to organic growth. On a three year basis, same store sell merchandise revenues increased at a solid compounded annual growth rate of 3.4% in the United States, 5% in Europe and 2.1% in Canada. Excluding the net impact from foreign currency translation, merchandise and service gross profits increased by approximately $131 million or 8.8% and their contribution from acquisitions amounted to $45 million. Our merchandise and gross and service gross margin increased by 1% in the United States to 33.6% and 0.2% in Canada to 31.6% mainly due to favorable changes in the product mix and pricing initiatives. Our merchandise and service gross profit decreased by 0.7% in Europe and other regions to 37.8%, mainly due to the integration of Circle K Hong Kong, which has a different product mix than our European operations. Excluding Circle K Hong Kong, our merchandise and service gross profits in Europe and other region would have been 42.1%, mainly driven by favorable changes in product mix. Moving on to the fuel side of our business, in the third quarter of fiscal 2022, our road transportation fuel gross margin was $39.63 per gallon in the United States, an increase of $8.87 per gallon. In Europe and other regions, it was $10.83 per liter, a decrease of $0.53 per liter and in Canada it was C$11.73 cents per liter, an increase of C$1.45 Canadian per liter. Fuel margin remained healthy throughout our network, mainly as a result of favorable market conditions and the continued work on the optimization of our supply chain. Now looking at SG&A for the third quarter of fiscal 2022, normalized operating expense increased by 9.8% year-over-year, driven by an increase level of marketing initiative and other discretionary expenses that were significantly reduced in their prior year quarter as well as by measuring this and this is stated by the impact of the labor shortage and the need to improve employee retention. We would also note that the impact of inflationary pressures, including higher utility costs in Europe, higher costs from rising minimum wage, and incremental investments in our store to support our strategic initiatives. This increase was partly offset by lower COVID-19 related expenses compared to the corresponding quarter of the previous fiscal year, as well as by our cost optimization initiatives. Excluding the cost of the retention measures implemented, which totaled approximately $28 million, as well as the COVID cost in the prior year, such as the thank you bonus for our employees, the remaining variance for the third quarter of fiscal 2022 would have been 8.8%. On a two year basis, normalized operating expense grew at a compound annual rate of 3.7% which remained slightly below inflation as a result of our various cost initiative, cost optimization initiatives. Excluding specific items described in more detail in our MD&A, the adjusted EBITDA for the third quarter of fiscal 2022 increased by $228.4 million, or 18%, compared with the corresponding quarter of fiscal 2021, mainly due to the higher road transportation fuel margins and organic growth in our convenience and road transportation fuel operations, partly offset by higher operating expenses, as well as the net negative impact from foreign currency translation. From a tax perspective, the income tax rate for the third quarter of fiscal 2022 was 21.3%, compared with 17.6% for the corresponding period of fiscal 2021. The increase in the income tax rate is mainly stemming from a prior year onetime gains taxable at a lower income tax rates. As of January 30 2022, our return on equity remained strong at 22.2% and our return on capital employed stood at 15.7%. During the quarter, we continued to generate strong free cash flows and our leverage ratios to that 1.33 times only 10 basis points higher than Q2, despite having repurchase more than 500 million during the quarter on their under our NCIB. We also had strong balance sheets liquidity with $2.5 billion in cash and an additional $2.5 billion available through our revolving credit facility. Turning to the dividend, the Board of Directors declared yesterday a quarterly dividend of C$0.11 cents per share for the third quarter of fiscal 2022 to shareholders on record as of March 24 2022, and approved its payment effective April 7, 2022. Finally, as previously announced as a result of all Couche-Tard’s co-founder reaching the age of 65 years old, all of our Class B shares automatically converted into Class A multi multiple voting shares during the quarter on their share-for-share basis. Following the automatic conversion, only Class A multiple voting shares of Couche-Tard are traded on the Toronto Stock Exchange under the symbol ATD. With that, I thank you all for your attention and turn the call back over to Brian.
Brian Hannasch: All right, thank you, Claude. Given for the first time, we're going to have live questions from analysts and I'm expecting it's going to take a little longer than usual. I'll try to be pretty fast in closing. We feel good about the quarter. We feel good about the upcoming summer season. As Omicron has retreated, we're seeing nice trends in both fuel and convenience, sales and traffic. I want to remind that in a very fragmented industry, we have a unique model with a diversified geographic footprint and significant competitive advantages versus the overall industry. And we're focused on developing new ones such as our food programming, food program, leveraging our data in unique ways to be even more relevant to our customers and the upcoming launch of a new loyalty program, which is focused on rewarding in a variety of ways our most loyal customers. Finally, operating in four countries in Eastern Europe. It's heart breaking to witness the tragic events taking place in the Ukraine, the huge movement of refugees, mainly women and children into our nearby countries. While it was the right decision to suspend our operations in Russia, it was not an easy one, as Russian team members have been a valued part of our family for a very long time. Once again, just as the pandemic started to stabilize, our teams in Europe and across the globe, are rising to the challenge of taking care of their fellow colleagues, customers and communities, and at the same time staying focused on our business and our key priorities. I couldn't be more proud to lead this company. I'm truly grateful for our team's commitment. With that, we'll now take questions from analysts. Operator over to you.
Operator: [Operator Instructions] Your first question comes from Irene Nattel with RBC. Please go ahead.
Irene Nattel: Thanks. And good morning, gentlemen. Delighted to ask the question live and in person. First question is really on so much has changed since the end of the quarter on January 30. Can you please give us some color or some more information around what you've seen in terms of fuel demand, fuel margins inside store, and any sort of disruptions that you're seeing in Europe?
Brian Hannasch: Good morning, Irene. Happy to take and try to break those apart. I'll start with the last one first. Europe, our Scandinavian business and Irish business largely unaffected. We've been able; we have long term supply agreements. So we very stable there and continue to perform very well, as you heard from the numbers. If you look at Eastern Europe, our Polish business, really, we've been overrun, like everyone has with refugees, so quite so we've struggled to stay in stock and take care of our customers. But that's improved. The last week if you called us a three week into this, the last week's better. So demands actually spiked there, but for horrible, horrible reasons. And seeing that to a lesser degree in the Baltics, but supply chains have remained solid. And, sales have been good. So knock on wood, that that business has been stable, and we're making every effort to take care of the refugees that continue to pour out of the country. In terms of what's happening, I'll take fuel first. Supply has been stable. It's a very, it's a global commodity. I think the limiting factors, people continue to walk away from Russian product could be shipping in the future. But so far, again, we're largely turned up in our European business, and we see no disruption in our North American business whatsoever. So we feel good about that. From a margin standpoint, not great for consumers and in terms of a price shock, but in terms of behavior in our industry, these price increases were so large, that industry had no choice, no choice but to pass it through. In a very, we are a very competitive industry, we're the only one that puts our prices out there in the front. But the, between the, the labor pressures, credit card fees, and the product costs, we saw a very disciplined response globally to the price increases. So our margins have actually remained relatively stable versus, past quarters through this crisis. In terms of consumer impact, I think we're going to have to just wait maybe a quarter and see what happens. I think if the shock were to mitigate, and we've seen crew go from 133 I'm talking about Brent, 133 back to $100, just in the last week, and we see corresponding retail price decreases then that’s a relatively short term shock and I don't think we'll have a meaningful impact on consumer behaviour, whether it be miles driven or whether it be what kind of car am I trying to buy? If we did see that persist for a long period of time, I think there is obviously, some risk of demand destruction. But I think what we're seeing is any potential customer hesitation has been offset by society opening. And unlike, if you talk about the last recession being in ’08, ’09 the over broad terms, I think the U.S. and Canadian consumers are in much better economic condition than they were in ‘08 or ‘09 when we had a recession running in parallel. So while we don't like these high fuel prices at all, and their impact on the consumer and their pocketbook, we think we're as a society in a much better place to weather that storm. And then just merchandise just kind of finished the last piece of that, again, we saw a dip down in the last two months of the quarter as Omicron spread. But I think there's pent up demand out there. So we look at our last few weeks. And we're very pleased, because we're right back where we were, which is early, early in the last quarter with some very strong year-over-year sales growth.
Irene Nattel: That's really helpful. And a follow up question on that. If we go back to the investor event, you called out $0.28 to $0.30 as let's call it a sustainable fuel margin. But since that time, we've had increasing cost pressures across the network. And now, of course, higher credit card fees with the higher prices. What would your comment be around bias to that number? And whether we should just simply be thinking about higher numbers on a go-forward basis?
Brian Hannasch: Yes, I think one, I would say we need to think long term, quarter-to-quarter, volatility is just inherent in our industry. But that said, your economics ruler industry, very fragmented, very competitive. And when you look at a very fragmented industry, you're the marginal margin need of the bottom half of our industry, the bottom quartile is really what should set that incremental margin. And they're facing, probably a lower store sales, lower fuel volume, they're getting the same credit card increases, labor increases, electrical increases. So, I think if you believe economics rule over time, you could make a case that, higher margins are needed, on a sustained basis going forward.
Irene Nattel: That's great. Thank you, Brian.
Brian Hannasch: Sure. Thank you, Irene.
Operator: Thank you. Your next question comes from Bonnie Herzog with Goldman Sachs. Please go ahead.
Bonnie Herzog: Thank you. Good morning, everyone. I had, my first question is on OpEx. It's certainly remained elevated in the past few quarters, given the tight labor market conditions, and the higher hiring and retention costs that you called out, as well as inflationary environments. So I recognize it's early, but can you talk a little bit about your expectations for OpEx in FY 2023. I guess I'm thinking about it, given rising fuel prices associated increases in credit card fees, just trying to think about, how we should assume, or should we assume, possibly a mid-single digit increase next fiscal year on top of the elevated increase you're seeing this year? Or do you guys see opportunities for you to potentially manage these expenses, possibly more efficiently than some of your smaller peers, given your scale?
Claude Tessier: Maybe before answering the questions about next year, we could look at this year how we performed. So we perform at the with 9.8% increase, which is elevated and by our standards, but you have to look also at last year. So last year in the same time period, we were declining our OpEx by 0.1% if you're going back to last year. So the increase this year is first then by a really good quarter last year. And what's the feeding also into that increase is obviously like you mentioned some labor challenges. So there are increases on that front, for sure. And also we put temporary measures also in for retention. So if you're looking at both of these, they're probably therefore half of that increase of 9.8%. And the rest is really pressure on costs that we see on energy in that we see in Europe, a lot of the increases on that and a bit of repair and maintenance compared to last year we have an increase. And also marketing, marketing last year, during COVID, we decrease marketing significantly. So now we're putting back that marketing this year. So that is accounting, those other factors are accounting for the other half of that increase. So if we're looking further and first we're going to cycle and we're going to start to cycle this decrease that we had last year, probably in Q1 of fiscal 2023. So that's what you need to take, take into consideration. So then we're going to start to cycle some of those increases in Q1. And also we there's temporary measures that we've put in place that we are re-evaluating also has as the conditions are changing on the field. So marketing, you need to think about it also as it's going to when it's going to cycle it's going to it's going to be back to two levels that are normal for our industry. So obviously, there's inflation in the systems. We're doing all we can pass it on. We have also our cost optimization program that's going very well. And that was one of our initiatives. We think we're going to be probably close to 100 million in terms of saving this year on that program. And we're still optimistic about the about those initiatives and taking costs out of our stores by taking, leaving more time for our associates to take care of customers in thinking of the back office work in our stores.
Brian Hannasch: And Bonnie, I'll jump in just because I know this is a big question not only for our company, but across a lot of companies. One, I want to point out, our European business, believe it or not, inflation is not an issue there. The energy is really the only thing that has spiked, we're not seeing the same pressures on labor or other costs in Europe. So I would say Canada would be medium, and then the U.S. would be the heaviest impact. And say, our teams on the labor side, which is our largest single investment in our business have done a good job. Certainly, while rate wage rates have risen, particularly in the U.S., I think we've done a good job of keeping as much of that incentives, retention, bonuses, those things variable. So as we see wage pressures, mitigate, we think we can pull a lot of that back. And then from an efficiency standpoint, we've run in this quarter 2% less hours than we did a year ago. And to Claude’s point, we're trying to continue to look at efficiencies, particularly the administration of our business, to take hours out of the business. And we think there's more to do there. And then finally on price, we've taken in the quarter, and this doesn't match because it happens at different periods of time. But we've raised prices on average 5.6% during the quarter, and again, that wasn't from day one in the quarter. So you can't look at it that way. But and that's compared to an average cost increase of like 3.7. So we've more than recovered the cost of goods increases in the quarter, by carefully looking at our competitors and other channels. We're seeing inflation as we do price surveys. And we think we've remained competitive, but at the same time been able to move retails and allow us to cover those costs.
Bonnie Herzog: Okay, that's super helpful and good to hear about the pricing, and maybe so far the consumer acceptance of those. Then I guess my second question is just around your capital allocation. Clearly you've stepped up your buyback this quarter, which is great. But suggests to me, there might not be as many large scale acquisition opportunities right now. So, as we look ahead to the rest of, I guess, this calendar year, I'm trying to get a sense of how you're prioritizing share repurchases versus M&A. And then, thinking back to your investor day, last year, you guys laid out, your EBITDA targets by the end of FY 2023 without, any major M&A was 5 billion and quite frankly, your tracking, there and probably will be above so can you maybe share with us how much above us you see your adjusted EBITDA hitting by the end of FY 2023 would be helpful? Thank you.
Brian Hannasch: Well, as far as capital allocation, that doesn't change our M&A strategy. I think we were always clear on that. So we feel that we have a strong balance sheet and there's a lot of activity on M&A. But until we there's something that materialize itself, then we're going to we're going to continue to use our buyback program because of our low leverage. So being at 133 for us is low and very low and our comfortable level would be around 2.25. That leaves ample room for us in terms of the flexibility on our balance sheet. So we have the ability to lever by over 10 billion really easily. So, so we are going to continue to use our buyback. And we're going to also renew our program for next year. And that's going to give us the possibility with 10% of our public filter purchasing 10% of our public float to repurchase maybe over 3 billion next year. If nothing comes up, so we're and that's how we look at it and how we treat it. But as far as EBITDA is concerned we, first we were not giving any guidance on EBITDA but for sure, we feel comfortable about our target that we that we showed everyone. So our target is at 5.1 billion. We've been trending last 12 month at 5.2 billion. And we see also -- we continued success in our initiatives that we have in our five year plan. So our fresh food fast program isn’t doing performing very well. We're continuing to develop in our merchandise, pricing and promotion program. Local pricing has delivered great synergies. And we're starting on the promotion side of it than just starting. So we were optimistic also continue to deliver on promotion and assortment also and these programs. Our fueled initiatives also are still thriving. And obviously our NTI programming is continuing. So we see a continued growth. And we were firm believer in our strategy. So we're cautiously optimistic that we're going to achieve our number next year, and hopefully more.
Bonnie Herzog: All right, sounds good. Thank you.
Operator: Thank you. Your next question comes from Mark Petrie with CIBC. Please go ahead.
Mark Petrie: Good morning. I just wanted to follow up on a couple of items. Actually, Brian, thanks for the comments just with regards to the pricing and sort of offsetting the product cost inflation and sort of operating cost inflation. Just wondering how your work on sort of price optimization layers into that? I mean, is that sort of a key element in being able to achieve that? Or is or is that sort of separate from that discussion?
Brian Hannasch: It's a great question. Because as we went down this path, a lot of our teams have not experienced inflation. So I think I say that having our D&A team there has helped us make price moves that we think are more elastic with the customer, less elastic, sorry, with the customer and less noticeable. So I think we've been able to make smarter moves, we've been able to pull back promotional activity that the data is showing us isn't driving, economic, strong economic results. So while the pace of change here is forced us to kind of get outside of that pure D&A modeling approach, I think the learnings that that team brings to the tables allowed us to do this in a much more thoughtful way in terms of consumer and consumer price perception.
Mark Petrie: Okay, makes sense. Thank you. And I guess the second question, Brian, you highlighted the plans for the loyalty program launched, just hoping you can tell us a bit more about what you've learned from the pilots? And what sort of impact you think that's going to have on your business? Be it sales, volumes or margins?
Brian Hannasch: Yes, we piloted in Denver, and then a small market in South Carolina. And we're really trying to differentiate here. It’s this, I think retail is kind of stuck in this buying club where, buy five, get one free, whether it's electronic or not. We're really trying to focus on those customers that are most important to us and bring them significant value across not just our products, but also fuel services or subscription programs, whether that be carwash or beverages. So layers of benefits. If you think about a pyramid of value, the more you buy, the more value we bring you. Pilots have gone very well. Net promoter scores have been very strong. Technology is always the issue. And so we're really making sure that we've got it right before we press the button. But our goal is to be in a couple 1000 stores early in the next fiscal year.
Mark Petrie: Appreciate the comments. All the best.
Operator: Thank you. Your next question comes from Michael Van Aelst with TD Securities. Please go ahead.
Michael Van Aelst: Thank you. So looks like the industry's reacting very rationally in this environment regardless of the volumes that they are, the OpEx inflation levels but one thing I'm trying to wrap my head around is the fuel volumes overall, because it seems like based on your same to your taggers, you're still something in the mid-teens below where you -- lower than that 2019 levels pre-pandemic. But the industry data is implying only a 3% drop versus 2019 level. And that's miles driven and fuel consumption. Can you help me reconcile the difference, and maybe why we're not seeing the retailers, or the C store operators see as much of a recovery?
Brian Hannasch: It's so good question, Michael. I think there's so many data points, EIA. We've got Apple in the phone companies providing data on miles driven. And the variability that data's in quite honestly frustrating a bit of art on our side that we don't, don't always get the same results for the same areas. But I would say our results have varied materially, depending on where you're at, in the network. Europe largely at 2019 numbers, B2B business actually over 2019 numbers. Canada and the U.S. it depends if you take our competitor who released earnings this week, and we compare the same geographies, and we have very similar results to them in the period. I think there's two other things that may be are in play. One is we've had a lot of rebranding activity, and those are disruptive to our sites, it takes us X period of time, to redo the canopies of pumps and all that. And so, that's not trivial. When we look at the impact, and we certainly have a period where we're ridge getting customer on the value of the Circle K brand versus a shell or BP or whatever that's been up there. So I haven't quantified that. But that's, that's out there. I mean, that's a reality that we've tonned up a lot of our for courts in the efforts to improve them and improve our economics. So I think that's a piece. And then I think the industry too, is maybe separated a bit from some of the low price players that have been in the market. So while I think it's economically rational, I could see maybe a little bit of volume bleeding into some of those historically, low, low, low price players. The mass, the cost goes, etcetera. So hard to quantify any bit of that, but I think our still biggest piece, Michael is we are more impacted by that morning day part. And with our network, and we just need people to get back. We were largely a suburban network, when you look at the bulk of our sites, and we need people to get back into the offices and commute to work again. So they get, that's our biggest thing that we need to kind of get back to normal volumes.
Michael Van Aelst: That's helpful. Thank you. And speaking of the morning day part, you talked about fresh food fast in North America seeing a 20% increase in same store sales it was that just in the in the fresh? Or is that in the total store where you implemented those, those programs out? And then…
Brian Hannasch: In that category. Yes, it's in that category, Michael, but we are seeing it certainly grows the basket and helps the store as well. And I think over time, is if we're able to get the supply chain, right and execute it, right. We just think it will also increase customer loyalty. You’ve got a certain percent of our customers that are floaters. And I think just being able to serve another need state for them, it will bring them in more often. So we're excited. We’ve not sampled this program at all due to COVID. So we have a lot of activities planned in the coming months.
Michael Van Aelst: Okay. And then can you talk about that chicken sandwich launch? Obviously, chicken sandwiches are huge dates, and I'm just curious, what type of product it is, and, and where it is?
Brian Hannasch: I mean, it's no secret chickens just been a hot commodity, very difficult to source. We have a sandwich that if you think about a Chick-fil-A, in a foil wrapper, I think that's the core piece that we've been missing. And then certainly we're doing chicken bites, chicken tenders as part of the offer and where we've been able to source it, particularly in the Southeast U.S., there are some of our strongest skews. So that's just a big hole in our in our current assortment, and as those supply chains have started to stabilize, we're excited to get in that business.
Michael Van Aelst: Okay, just finally, can you comment on the morning day part and how it's been recovering in the last little while, as we've seen the restrictions and the work from home mandates start to come up?
Brian Hannasch: Yes, I'd say if you look back at the quarter, we were really encouraged by the first 45 days of the quarter. We saw strong, mid-single digit growth in traffic and same store sales and then you on the ground just crushed us for the last part of the quarter. And then as we look into the last into Q4, we're kind of back where we were early in the prior quarter. We're seeing, particularly in the U.S. and Europe, very strong, traffic and sales. So you know that in that morning day parts a part of that. And I just think we're scratching the surface on terms of people going back to work yet. So I think the full effect of that still accommodates you. I know, for us we literally are just opening offices now. And I know that's the case for a lot of our lousy employers out there today.
Michael Van Aelst: Alright, Brian. Thank you.
Brian Hannasch: Thanks, Michael.
Operator: Thank you. Your next question comes from Chris Lie with Desjardins. Please go ahead.
Chris Lie: Hi, good morning. Brian, just on the first one a few margins. Over the past couple of years, Couche-Tard has consistently maintained a few cents premium over to the office industry average. I think that's mainly assumption of your margin enhancement initiatives. I guess my question is, do you think that level of premium is sustainable longer term as fuel volume start to normalize?
Brian Hannasch: Chris, thanks for the question. Our goal is to expand it. We were investing heavily to win and fuel, both on the consumer side with our Pay by Plate initiatives, our brand promises. Then on the supply side, our partnership with musket and loves here in the U.S. we bring an unparalleled scale, and certainly a very, very top quartile supply and trading capability to the market. And then third, as we've transitioned to more of our own fleet, we think the opportunity to be very opportunistic, where we source product, as we shift to our own brands, will again just further enhance our advantages versus a very fragmented industry. And we all need to remember 60% of the industries, single site operators. So Chris, I, our goal, and I'll be disappointed is over time, we can expand that.
Chris Lie: Okay, that's very helpful. Maybe just a follow up on that is, you mentioned that the bottom quartile players, do you have a sense of what their break evens to your margin is these days, given all the increased cost pressures?
Brian Hannasch: I think there's some data out there from Max, Chris. I don't have it off the top of my head, but, Claude is nodding his head, we'd be happy to look that up and share that. But there's some very good state of the industry data out there that we’d be able to share with you.
Claude Tessier: We think it's between $0.21 and $0.25, but I'm going to get to the right, the right data on that. But then that's obviously, like Brian mentioned earlier, that's increasing with the pressure they have with inflation and inflation really in the last three months. It's been, it's been increasing. So I'm not sure we're going to have a report as a real number.
Brian Hannasch: You give a relative delta, though versus top quartile.
Claude Tessier: So we'll provide that to you, Chris.
Chris Lie: Perfect. And maybe last question, just maybe for Claude. Just in terms of the retention cost, you caught over 20 million in the quarter. And I think last quarter was around 25 million. Is it fair to assume those are more one time in nature? So as you're going to next fiscal year, assuming the labor situation continues to improve? And maybe some of those retention costs will not return again next year?
Claude Tessier: Yes, well, it's difficult to measure and say well we're going to take out those costs. And then we're going to decrease our cost base by the same amount that. I think we're decreasing these costs in the different geography, but adapting also to the wage increase that we encounter in the geography. So if these temporary measures were there, until we know more, and we have more clarity on the increase in wages, and what it takes to have the good retention rate turnover rate, like we're used to have. And once we achieve these, then then we scale down these retention measures. But obviously, there's a portion of it that's going to come into wage increase, and that are happening all over the U.S. and also in Canada.
Chris Lie: Thanks very much and all the best.
Claude Tessier: Thanks, Chris.
Operator: Thank you. Your next question comes from Vishal Shreedhar with National Bank. Please go ahead.
Vishal Shreedhar: Hi, thanks for taking my questions. That your political backdrop is under increased scrutiny, obviously, wondering if you can provide us any updates on how Couche-Tard thinks about global expansion either in Europe or in Asia? Are these the same priority that they were, and how should we think about preferred countries of expansion or even potential divestitures?
Brian Hannasch: Yes, thanks Vishal. I certainly hope you know deep in my heart that this is a very temporary situation in Europe. Never thought I'd see a war in Europe in my lifetime. So I think in terms of M&A we think long term. And certainly don't take the geopolitical or currency risks lightly as we look forward. But the macro trends around where the world is going to grow, looking at Latin America, looking at Southeast Asia remain intact. And so we've signaled that those are areas we have ambitions to, to grow, and doing it in the right way. We've operated again, in Russia and Poland and other countries for decades, and we've been able to operate in the right way in an ethical fashion, and in a safe fashion. So as we look at the markets, we will take the same approach, but again, long term. So this recent political event, I think, heightens just the reality that things can happen. But I don't think it's changed where we're looking. And we're, we're focused on getting something done.
Vishal Shreedhar: Okay, thanks for that color. And with respect to fuel margins, they've increased rapidly at post COVID. And I know Couche-Tard obviously will take $1 of earnings where they can get it, but these fuel margins are more volatile source of earnings, let's say versus your merchandising business. Does Couche-Tard consider the focus on fuel and the volatility of earnings, as it looks forward and expands those fuel margins?
Brian Hannasch: I think fuel will be an important piece of what we do for a long period of time, and is we've talked about mitigating that via a number of ways. And I think our goal is to create sustainable competitive advantages versus a fragmented industry and take market share versus industry over the coming decade. And so, volatility is inherent in commodities. But volatility also creates opportunities for those that are good. And we think we've developed capabilities that put us in a top quartile and fuel space. And quite honestly, we welcome the volatility, you may not like it every quarter, in terms of the earnings and trying to guess where fuel margins are. But again, volatility does create significant economic opportunities for those that have the opportunity, the flexibility and capabilities to seize it. So we think it's a part of it. And we just encourage looking at fuel margins over longer periods of time. And if you looked at the last decade, you'd see a nice persistent increase in unit margins. And I think we've continued to take advantage of that and widen the gap versus industry.
Vishal Shreedhar: Thank you.
Operator: Thank you. This concludes the Q&A portion of the conference, Mr. Lachance, back over to you.
Jean Lachance: Thank you, operator. Thank you, Brian. Thank you Claude. Thank you all for joining us. We wish you a great day and look forward to discussing our fourth quarter 2022 results in June.[Foreign Language] You may now disconnect.
Operator: Thanks, everyone. Have a good day.